Operator: Greetings and welcome to the Vishay Intertechnology's Third Quarter 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Peter Henrici, Head of Investor Relations. You may begin.
Peter Henrici: Thank you, Michelle. Good morning and welcome to Vishay Intertechnology's third quarter 2022 conference call. With me today are Dr. Gerald Paul, Vishay's President and Chief Executive Officer; and Lori Lipcaman, our Executive Vice President and Chief Financial Officer. As usual, we'll start today's call with the CFO, who will review Vishay's third quarter 2022 financial results. Dr. Gerald Paul will then give an overview of our business and discuss operational performance as well as segment results in more detail. Finally, we'll reserve time for questions and answers. This call is being webcast from the Investor Relations section of our website at ir.vishay.com. The replay for this call will be publicly available for approximately 30 days. You should be aware that in today's conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today's press release and Vishay's Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. In addition, during this call, we may refer to adjusted or other financial measures that are not prepared according to generally accepted accounting principles. We use non-GAAP measures because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures that we also provide. On the Investor Relations section of our website, you can find a presentation of the third quarter 2022 financial information containing some of the operational metrics Dr. Paul will be discussing. Now, I turn the call over to Chief Financial Officer, Lori Lipcaman.
Lori Lipcaman: Thank you, Peter. Good morning, everyone. I am sure that most of you have had a chance to review our earnings press release. I will focus on some highlights and key metrics. Vishay reported revenues for Q3 of $925 million, a quarterly record. EPS was $0.98 for the quarter. Adjusted EPS was $0.93 for the quarter. The only reconciling item between GAAP EPS and adjusted EPS is tax related. There were no reconciling items impacting gross or operating margins. As we announced in February, Vishay has adopted a stockholder return policy which calls for us to return at least 70% of annual free cash to stockholders directly in the form of dividends or indirectly in the form of stock repurchases. During Q3, we repurchased slightly less than 1 million shares of common stock for $18.5 million. We paid $14.3 million for our quarterly dividends for a total stockholder return of $32.8 million. Year-to-date, we repurchased 2.9 million shares of common stock for $54.7 million. We paid $43.1 million in dividends for a total stockholder return of $98 million. Revenues in the quarter were $925 million, up by 7.1% from the previous quarter and up by 13.7% compared to prior year. Gross margin was 31.3%. Operating margin was 19.8%. EPS was $0.98. Adjusted EPS was $0.93. EBITDA was $224 million or 24.2%. There were no reconciling items to arrive at adjusted EBITDA. Reconciling versus prior quarter, operating income Q3 2022 compared to adjusted operating income for prior quarter, based on $61 million higher sales or $76 million higher sales, excluding exchange rate impacts, adjusted operating income increased by $25 million to $183 million in Q3 2022 from $158 million in Q2 2022. The main elements were average selling prices were flat; volume increased with a positive impact of $39 million, equivalent to a 9.1% increase, primarily due to a catch-up related to Shanghai shutdowns in Q2. Variable costs were flat. Lower metal prices and freight costs offset higher prices for materials and services. Fixed costs increased with a negative impact of $4 million. Inventory impacts had a negative impact of $12 million. Reconciling versus prior year, adjusted operating income Q3 2022 compared to operating income in Q3 2021, based on $111 million higher sales or $155 million higher, excluding exchange rate impacts, adjusted operating income increased by $60 million to $183 million in Q3 2022 from $124 million in Q3 2021. The main elements were average selling prices had a positive impact of $69 million, representing an 8.0% ASP increase. Volume increased with a positive impact of $48 million, representing a 10.4% increase. Variable cost increased with a negative impact of $23 million primarily due to increases in cost of materials and services, labor, silicon, logistics, not completely offset by cost reduction efforts and lower metal prices. Fixed cost increased with a negative impact of $25 million primarily due to annual wage increases as well as general inflation. Inventory impacts had a negative impact of $8 million. Selling, general and administrative expenses for the quarter were $106 million, in line with expectations when considering exchange rate effects. For Q4 2022, our expectations are approximately $109 million of SG&A expenses. For the full year 2022, our expectations are $438 million of SG&A expenses, excluding any impact from our acquisition of MaxPower. The debt shown on the face of the balance sheet at quarter end is comprised of the convertible notes due 2025, net of debt issuance costs. There were no amounts outstanding on our revolving credit facility at the end of the quarter. However, we did use the revolver from time to time during Q3 to meet short-term financing needs and expect to continue to do so in the future. No principal payments are due until 2025 and the revolving credit facility expires in June 2024. We had a total liquidity of $1.7 billion at quarter end. Cash and short-term investments comprised $18 million and there were no amounts outstanding on our $750 million credit facility. Total shares outstanding at quarter end were 142 million. The expected share count for EPS purposes for the fourth quarter 2022 is approximately 142 million, excluding any impact of share repurchases. Our U.S. GAAP tax rate year-to-date was approximately 23% which mathematically yields a rate of 22% for Q3. We recorded a tax benefit of $5.9 million for the quarter and year-to-date periods to adjust uncertain tax position provisions, following the resolution of a tax audit. Our normalized effective tax rate which excludes the unusual tax item and for the year-to-date period excludes the tax effect of the COVID costs in China in Q2, was approximately 25% which mathematically yields a rate of 26% for the quarter. We expect our normalized effective tax rate for full year 2022 to be between 24% and 25%. Our consolidated effective tax rate is based on an assumed level and mix of income among our various taxing jurisdictions. A shift in income could result in significantly different results. Also a significant change in U.S. tax laws or regulations could result in significantly different results. Cash from operations for the quarter was $209 million. Capital expenditures for the quarter were $76 million. Free cash for the quarter was $133 million. For the trailing 12 months, cash from operations was $464 million; capital expenditures were $272 million, split approximately, for expansion $172 million, for cost reduction $16 million, for maintenance of business $84 million. Free cash generation for the trailing 12-month period was $193 million. The trailing 12-month period includes $15 million cash taxes paid for the 2022 installment of the U.S. tax reform transition tax and $25 million cash taxes paid pursuant to our Israeli repatriation program. Vishay has consistently generated in excess of $100 million cash flows from operations in each of the past 27 years and greater than $200 million for the past 20 years. Backlog at the end of Q3 was at $2.261 billion or 7.3 months of sales. Inventories decreased quarter-over-quarter by $3 million, excluding exchange rate impacts. Days of inventory outstanding were 90 days. Days of sales outstanding for the quarter were 42 days. Days of payables outstanding for the quarter were 33 days, resulting in a cash conversion cycle of 98 days. Now, I’ll turn the call over to our Chief Executive Officer, Dr. Gerald Paul.
Gerald Paul: Thank you, Lori and good morning, everyone. Before I will start talking about the quarter, please allow me a personal remark. After 25 years and approximately 100 quarterly earnings calls, today will be the last time I represent Vishay. Let me take the opportunity to thank you for your interest in Vishay and for your fairness along the way. It always has been an honor and a pleasure for me to explain the development of our business. I will step down from my CEO position at the end of this year and I wish my successor continued success in running this exciting enterprise. Now, let me turn to Vishay. Despite ongoing demanding challenges of various kinds globally, the third quarter for Vishay represented another record in terms of sales and profits. Actually, the quarter has been our most successful one since at least 20 years. Our excellent performance in difficult times underlines the robustness of the electronics market in general but, in particular, also the strength of Vishay. Vishay in the third quarter achieved gross margin of 31.3% of sales versus 30.3% in the second quarter, adjusted gross margin of 31.3% versus 31.0% in Q2, an operating margin of 19.8% of sales versus 17.5% in the second quarter, adjusted operating margin of 19.8% versus 18.3% in Q2, earnings per share of $0.98 versus $0.78 in the second quarter and adjusted earnings per share of $0.93 versus $0.82 in Q2. As expected, free cash generation in the quarter recovered sharply. From a relatively low first half, we achieved $133 million free cash flow in Q3. Vishay, despite global pressures, principally continues to operate under good economic conditions. Also as a consequence of increased shipments in the quarter, the historically high backlog level has started to normalize to a degree. All regions remain principally strong. Shortages of supply continue to exist for several product lines. Selling prices were stable in the third quarter. Global distribution continues to see a strong business environment. POS in Q3 was 5% above Q2 and 3% above prior year and except for Q1 '22 has reached an all-time record. Concerning POS, all regions did better than in the second quarter. Global inventories in the third quarter increased substantially by $92 million or by 16% versus Q2 and were 40% above prior year. That, on the other hand, you will remember, had been characterized by rather extreme shortages. There is also an impact of price increases year-over-year, indicating a lower increase of inventories in terms of pieces. Inventory turns of global distribution were at 3.2, noticeably down from prior quarter at 3.6 but historically still at an acceptable level. The Americas had 1.9 turns in Q3 versus 2.1 in Q2 and 2.2 in prior year. In Asia, we have seen 3.9 turns after 4.6 in Q2 and 6.1 in prior year. And in Europe, there were 4.2 turns after 4.3 in Q2 and 4.5 in prior year. Automotive manufacturers start to see some easing of their delivery problems on ICs, leading to an increasing usage of discretes and passives. Growth in the automotive market is expected to remain strong long term. The move to electric vehicles accelerates the use of electronic components. Significant investments are to be expected also in the charging infrastructure. The industrial segment continues to do well. Drivers for growth continue to be the move to electric energy programs and systems, smart home automation systems, the upgrade of industrial manufacturing capacities, the recovery of the oil and gas sector and an increasing demand for electrical power infrastructure globally. Demand for consumer notebooks and desktops are currently in the phase of decline. 5G continues to provide growth opportunities for the future in fixed telecom. Sales to military equipment manufacturers remain strong. And in lieu of growing political instabilities globally, we expect this trend to continue. Commercial aviation holds up strong. We see a solid business in the medical sector, in particular, in implantables, in diagnostic equipment. We also see steady business in gaming systems, smart TVs, air conditioning and white goods. Let me comment now on Vishay's business development in the third quarter. In the third quarter, sales, excluding exchange rate impacts, came in substantially above the midpoint of our guidance. This was due to special efforts of our Asian semiconductor plants to make up for the Q2 shutdowns, you will remember. We achieved sales of $925 million versus $864 million in prior quarter and $814 million in prior year. Excluding exchange rate effects, sales in Q3 were up by $76 million or by 9% versus prior quarter and up by $155 million or by 20% versus prior year. Book-to-bill in the quarter was 0.88 after 1.07 in prior quarter; 0.7 for distribution after 1.05 in Q2; 1.03 in OEMs after 1.11 in Q2; 0.76 in semis after 1.07 in prior quarter; 1.03 for passives after 1.07 in prior quarter; 0.90 for the Americas after 1.02 in Q2; 0.64 for Asia after 0.88 in Q2; 1.15 for Europe after 1.35 in Q2. Backlog in Q3 are still on a quite extreme level of 7.3 months, down from 8.4 months in prior quarter; 7.4 months in semis after 9.5 in Q2; 7.6 months in passives after 7.3. For semis, there has been a catch-up in sales, as I mentioned before, in the quarter. There were stable selling prices quarter-over-quarter but substantial price increases versus prior year. Prices were stable for all the products versus prior quarter and plus 8% versus prior year. For semis, very slightly down by 0.1% versus prior quarter and up by 10% versus prior year on passive's stability versus prior quarter and plus 5.8% versus prior year. Some highlights of operations. Despite further accelerating rates of general inflation worldwide, Vishay in the third quarter raised its variable margin percent over traditional levels. Fully loaded plants and good manufacturing efficiencies helped. SG&A cost in the third quarter came in at $106 million. Manufacturing fixed costs in the quarter came in at $140 million. Fixed costs in total were according to our expectations when excluding exchange rate impacts. Total employment at the end of the third quarter increased to 23,930, 1.0% up from prior quarter. Excluding exchange rate impacts, inventories in the quarter decreased by $3 million. Raw materials increased by $6 million. WiP and finished goods, on the other hand, decreased by $9 million. We do expect further inventory reductions going forward. Due to higher volume, inventory turns in the third quarter increased to 4.1 as compared to 3.8 in prior quarter. Capital spending in Q3 was $76 million versus $57 million in prior year, $51 million for expansion, $3 million for cost reduction and $22 million for the maintenance of business. We continue to prepare ourselves for further growth. And for '22, we continue to expect CapEx of approximately $325 million. We generated in the third quarter cash from operations of $464 million on a trailing 12-month basis which includes $25 million taxes paid for repatriation of cash. We generated in the third quarter free cash of $193 million, again, on a trailing 12-month basis which also includes the $25 million taxes paid for the repatriation of cash. Despite increased CapEx and some increases in inventories and receivables, we also for the current year expect a solid generation of free cash. Let me come to the product lines and I will start, as always, with resistors. With resistors, we enjoy a very strong position in the auto, industrial, military and medical market segments. We offer virtually all resistor technologies and are globally known as a reliable high-quality supplier of the broadest product range in resistors and we do constantly expand this portfolio by new specialties. Vishay's traditional and historically growing business runs at record levels. Sales in the quarter were $207 million, down by $1 million or by 0.5% from previous quarter but up by $40 million or 24% versus prior year. All this excludes exchange rates. Book-to-bill ratio in the third quarter was 1.08 after 1.05 in prior quarter. Backlog for resistors were at 7.8 months and -- which compares to 7.6 months in prior quarter. Gross margin in the quarter remained at an excellent level of 33% of sales. Inventory turns in the third quarter were at 3.5, down from prior quarter at 4.0 due to increasing raw material safety stocks. Selling prices in resistors continued to increase, plus 0.8% versus prior quarter and plus 7.7% versus prior year. For resistors, we are continuously raising critical manufacturing capacities, in particular for thick and thin film chips and for shunts. We continue to broaden our business with specialty resistors by targeted acquisitions like recently with Barry Industries. Inductors, our business of inductors consists of power inductors and magnetics. We exploit the continuously growing need for inductors, in general. Vishay, in this context, developed a platform of robust and efficient power inductors and leads the market technically. With magnetics, we are very well positioned in many specialty businesses, demonstrating also in this field steady growth. Sales of inductors in the third quarter were $84 million, down by $5 million or by 6% versus prior quarter and up by $1 million or 1% versus prior year, excluding exchange rate effects. Book-to-bill in the quarter, in Q3, was at 1.02 after 0.97 in the second quarter. We expect a substantial increase of demand with automotive gaining speed. Backlog in the quarter increased to 6 months from 5.6 months in prior quarter. Gross margin in the quarter decreased to a still excellent level of 31% of sales as compared to prior quarter at 33% of sales. Inventory turns in Q3 increased to 5.0, up from 4.7 in prior quarter. For inductors, we have seen stable selling prices quarter-over-quarter and plus 1.6% price increase versus prior year. We continuously expand our manufacturing capacities for power inductors and remain open for acquisitions, in particular in the field of magnetics. We are in process of establishing a plant for power inductors in Mexico. Coming to capacitors; our business with capacitors is based on a broad range of technologies with a strong position in American and European market niches. We also enjoy increasing opportunities in the field of power transmission and of e-cars, namely in Asia. Sales in the third quarter were at $126 million, $3 million [ph] -- or 3% below prior quarter but $19 million or 17% above prior year which again excludes exchange rate impacts. Book-to-bill ratio in the third quarter was 0.95 after 1.17 in prior quarter. The backlog level of capacitors remained at a quite extreme level of 8.1 months. Gross margin in the quarter was 24% of sales, slightly down from 25% in the second quarter. Inventory turns in the quarter were at 3.2, on the level of Q2. Some price reduction versus prior quarter was visible but price increases happened substantially versus prior year. We have seen a price reduction of 1.2% versus prior quarter but an increased -- price increase versus prior year of 5.5%. We are confident for capacitors also in light of growing global efforts in green energy in view of a growing mill business and the recovery of oil and gas. Opto products; Vishay's business with Opto products consists of infrared emitters, receivers, sensors and couplers. In particular, Opto sensors present one of Vishay's important product segments for future growth. Sales in the quarter were $73 million, $3 million or 4% below prior quarter but up by $7 million or 11% versus prior year which excludes exchange rate impacts. Book-to-bill in the third quarter dropped noticeably to 0.57, impacted by the present slowdown of the consumer market segment. Backlog is still at a very high level of 8.1 months after extreme 9.1 months in the second quarter. Gross margin in the quarter increased to an excellent level of 35% of sales, up from 34% of sales in prior quarter. Inventory turns in the quarter were 4.6, slightly down from prior quarter of 4.8. There were fairly stable selling prices versus prior quarter but substantial price increases versus prior year, minus 0.5% price development versus prior quarter and plus 5.7% versus prior year. Opto products continue to be a very relevant element of Vishay's performance going forward. There are numerous promising projects, predominantly in the auto and the industrial market segments. Coming to diodes; diodes for Vishay represents a broad commodity business where we are largest supplier worldwide. Vishay offers virtually all technologies as well as the most complete product portfolio. The business enjoys a very strong position in the automotive and industrial market segments and keeps growing steadily and profitably since years. Sales in the quarter were strong at $209 million, up by $20 million or 11% versus prior quarter and up by $33 million or 19% versus prior year, again, without exchange rate effects. Book-to-bill in Q3 was at 0.79 after 1.10 in prior quarter. Backlog decreased from extremely high 9.3 months to a still very high level of 7.7 months. Gross margin in the quarter was at a very good level of 27% of sales, slightly down from 28% of sales in prior quarter, mainly due to the impact of some inventory reduction. Inventory turns in Q3 were at 4.3, an increase from 4.0 in the second quarter. Selling prices were stable, vis-a-vis prior quarter but substantially up versus prior year by 10.7%. Our large and profitably growing business with diodes is the most relevant part of Vishay's volume basis. Last but surely not least, the MOSFETs. Vishay is one of the market leaders in MOSFET transistors. With MOSFETs, we enjoy a strong and growing market position, in particular in automotive which, in view of the rapidly increasing use of MOSFETs, provides a very successful future, in particular, for this line. Demand over recent years has reached quite extreme levels and will further increase dramatically in the years to come. Sales in the quarter raised sharply to $225 million by $69 million or by 44% above prior quarter and by $56 million or 33% above prior year, all excluding exchange rate impacts. As mentioned, sales in Q2 had been impacted severely by plant and warehouse shutdowns in Shanghai and Q3 represented a catch-up. The book-to-bill ratio in the quarter was at 0.78 after 1.14 in the second quarter. Backlog decreased to 6.3 months from an increased level of 10.1 months in prior quarter due to the COVID shutdown. Gross margin in the quarter increased further to 37% of sales after 35% in the second quarter. Inventory turns in the quarter recovered sharply to 4.7 as compared to 3.4 in prior quarter which had been burdened by the substantial inventory build as a consequence of the Shanghai shutdown. Stable selling prices quarter-over-quarter but strong price increases versus prior year. Versus prior year, selling prices went up by 10.9%. MOSFETs represent the most important product family for future growth. As you will know, we are in process of a massive expansion of our in-house wafer capacities. Additionally, we, with the acquisition of MaxPower, have closed a gap in our product portfolio concerning silicon carbide which will support high-voltage and high-temperature electrification in auto and industrial segments. We plan to offer silicon carbide MOSFETs at 650 volts, 1,200 volts and 1,700 volts using planar as well as trench technology. Let me summarize. Despite political instabilities, despite an accelerating rate of inflation and despite the impact of higher interest rates as well as disturbances still caused by the pandemic, we continue to enjoy a very high market demand, achieving records in terms of sales and profits. Vishay, like our industry in general, clearly benefits from the acceleration of electronification in virtually all market segments. The move to electric vehicles is one of the drivers but to a similar extent, the move to clean energy and the accelerated -- accelerating automation of factories. Most importantly, I think we expect this trend to continue long term and we will keep investing in an accelerated way in new processes and manufacturing capacities. Vishay is well positioned and competitive in terms of products and costs and financially strong enough to cope with all challenges. I’m convinced we will have an excellent future. For the fourth quarter, we guide to a sales range between $860 million and $900 million at a gross margin of 30.0%, plus/minus 50 basis points. Thank you. Peter?
Peter Henrici: Thank you, Dr. Paul. We will now open the call to questions. Michelle, please take the first question.
Operator: [Operator Instructions] Our first question comes from the line of Joshua Buchalter with Cowen.
Joshua Buchalter: Congrats on the results and more importantly, congrats to Dr. Paul on an incredible run. 44 years at one company is, I think, something all -- we can all appreciate. I wanted to start by asking about the MOSFET supply chain issue in China that we saw in the second quarter. Is there a way to sort of isolate the impact in the third quarter? And in particular, what would overall book-to-bill have been for the company if it were not for the MOSFET issue? And any way to sort of isolate the organic growth underneath the packaging delay?
Gerald Paul: Okay. Listen, basically, we caught up whatever we lost in the second quarter already in Q3. This was somewhat earlier than we expected ourselves, to say it frankly. And if you take all that, quarter 2, 3 and also the guidance for Q4 are virtually on the same level for the whole company. So this takes out the whole -- this was an impact which was a very temporary effect which was taken out.
Joshua Buchalter: Okay, got it. And then I did want to ask about pricing. It was sort of the first order in a while that it flattened out. Are you seeing any material changes in your customer behavior and related to macro slowing? We’ve heard a number of companies in the semiconductor industry call out expanding weakness from consumer to pockets of industrial. I know you guys are heavily exposed there. I was just wondering if there have been any material changes at your customers that you’re seeing. And congratulations, again.
Gerald Paul: Well, lead times are still high for many parts which we sell and the behavior of the customers has not changed dramatically. But price decline -- price increases, sorry, have slowed down to a degree. And also they will continue in a way but they will slow down further as we expected. But simply speaking, shortages continue to exist for quite a few product lines.
Operator: Our next question comes from the line of David Williams with Benchmark.
David Williams: Dr. Paul, congrats on a tremendous run and we will certainly miss hearing your voice every earnings.
Gerald Paul: Thank you.
David Williams: So I guess, as I kind of think about the book-to-bills, they’ve looked like they’ve come down across the majority of the business. Just kind of curious how you’re thinking about maybe the next few quarters relative to the macro and how you think Vishay will perform in a less growthy environment.
Gerald Paul: I mean, in judging the book-to-bill, you must, of course, take into account the situation concerning the backlog. A backlog of altogether 7, 8 months is more than twice as much as this business has shown for decades, so to speak. So it's an abnormally high backlog level. And you would expect some kind of book-to-bill close to 1 or below 1 to normalize something. So I wouldn't shout fire, so to speak, seeing that. This was to be expected. We believe looking, for instance, at the POS of our distributors which continues to be very strong, that the business per se continues very strong. And of course, you never know what the future brings. But I think for electronics, you can hardly be pessimistic. The electronification in the industrial world in, of course, also automotive continues to push us which is much more than I have as an experience for -- of my long time. This is a new era for growth.
David Williams: Agreed. Great. And then maybe just in terms of behavior, I know you touched on this earlier but have you noticed anything change in terms of order pushouts or maybe decreasing expedites or just anything there that’s kind of shifting around and maybe more from a specific end market or specific category of end market that you’ve seen, that would be helpful?
Gerald Paul: As you can imagine, we watch that carefully. And I watched, in particular, the shipped to backlog. We have for rolling 13 weeks shipped to backlog. And this went up even in October, this went up. So as a matter of fact, I do not see -- despite some book-to-bill for the whole thing which is below 1 or close to 1, I do not see a change of the climate at this point in time. And we do see shortages for key parts which we deliver to the market, continued shortages and long lead times, especially in the automotive field.
Operator: Our next question comes from the line of Ruplu Bhattacharya with Bank of America.
Ruplu Bhattacharya: Let me echo, Dr. Paul, we will miss you. Congrats on a very successful career.
Gerald Paul: My vision and my piece of furniture, so to speak.
Ruplu Bhattacharya: My first question is on the acquisition that you did on MaxPower Semiconductor. Can you give us some more details, like what is the revenue expected from that acquisition? How many people are you taking on? And I think the SG&A guidance was ex that acquisition. So I assume that acquisition is complete already. So are -- should we assume some more SG&A because of that acquisition?
Gerald Paul: Well, what we acquired is a company, a relatively small company which is $ 10 million sales at this point in time based on basically foundries. But what we really acquired is the potential to participate in the silicon carbide business midterm which I believe everybody agrees is a winner going forward and will accelerate our expected growth in silicon -- in normal MOSFETs and silicon-based MOSFETs substantially. We felt that we had to close this gap because Vishay up to now had nothing to order -- to offer in this field. And now we are in the position of know-how and of patents and we can build on that. This business has to be built, no question about it. But we have decided to do so and I see excellent chances to do so because what we acquired, people know what they do in simple terms.
Ruplu Bhattacharya: Okay. Can I ask a question on MOSFET margins? Gross margin came in at 37%. This is a level that we didn't see even in 2010. I mean this is probably the highest margins you’ve had in that segment. I mean, I’m struggling to think if this is sustainable. And if it is, what are the factors that would drive this, either higher or lower?
Gerald Paul: Ruplu, as I somehow said before, it's a volume game. It's, first of all, a volume game. And of course, we had record sales, as you will see. It was a spike in a way but we are on the way up if sales continues to increase our manufacturing capacity. And as -- strong which we expect, you will see better gross margins. But if you compare now one quarter with actually the one before, predominantly, what you see is a reflection of the volume change between the quarters. And it has been a record quarter, as a matter of fact. And so the gross margins got that high. You see our -- in our guidance for Q4, of course, a small decline but it's still quite high and this is not a quarter which represents a spike. So we continuously go up in gross margin.
Ruplu Bhattacharya: Okay. Maybe if I can just squeeze one more in for Lori. Can you talk about your capital allocation priorities now? You've done the $50 million acquisition that you talked about. But can you talk about how much cash you now have in the U.S. versus outside and your propensity for buybacks, dividend increases and further M&A?
Lori Lipcaman: Okay. So I'd like to confirm our shareholder return policy, first of all. We announced that we would return to shareholders a minimum of 70% and we're on track to do that and we would continue to do that. We had set a minimum of $100 million. You see that we’ve already returned $98 million but we plan to return the announced minimum of 70% for 2023. So it will be higher than the $100 million that we had stated as a minimum.
Operator: We have reached the end of our question-and-answer session. I'd like to turn the call back over to Mr. Henrici see for any closing remarks.
Peter Henrici: Thank you for joining us on today’s call and for your interest in Vishay Intertechnology.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.